Operator: Good morning, dear colleagues. We are ready to start our Third Quarter Result Call. We have here again distinguished professionals in the Helsinki room and also a few hundred behind the lines. I remind you all to put your mobiles in this room on the silent mode. The material has been available from our websites. I'm not going to refer to the pages when I go through. It should be easy to follow the presentation as such. It should take some 40-30 minutes and then we have a very good time for your questions at the end. And as my practice has been, I say a few sentences about the summary. We are happy for the quarter, quarter went well. The market itself for the winter tires is moving and continuously has been moving towards the fourth quarter. In this situation, we were able to increase our market share and also keep or increase our price positions in the market share, and I consider that a good result. The structure of the presentation is exactly the same as in the last few quarters, so I go through them. Comments about the market itself, there are some reasonably significant changes now or turns in the market that I'll describe, then also our performance in that market and then deep dive on some of our businesses and then a reminder about the outlook. New car sales in Europe has been very, very strong. It has continued strong at about 8% for the full-year so far both for the Europe and for the Nordics. In Nordics, Finland has been the highest growing and then Sweden, following Norway, Norway the lowest. And this is of course good for the winter tire business as such, as in Nordics the winter tires are sold typically together with the new cars. North America, both the tire market and new car sales market has been actually surprisingly low, even negative for the tires. Negative trend in tires is explained by the winter tire inventory issues that is impacting the whole market there. A few other issues as well. But the, looking at how strong generator of the economy North America has been for many, many industries, these figures are somewhat low. Also, the tire markets in Europe have not been following the same trend as the car sales have been, only kind of flattish type of market development. And then Russia, new car sales last month was a little bit now lower, but still two digit decline September figures, which for me personally was a bit of a disappointment. I had been expecting now single-digit figures for the new cars already. 14% for the full year, it is in our assumption range but we have been hoping a little bit better. Heavy tire segment as such no big changes there. Some of the segments are in strong position cyclically in most of the markets, Russia of course in most of the segments being quite low. Some first signs that the mining segment would start to recover. Forestry segment of course is in a very high level at the moment and we believe that it will continue still going strong for the future. Currency impact, there was a clear change now. So we only had a couple of millions of negative impact in the sales regarding the currencies during the quarter. Still of course for the full year the impact is and has been very negative. What is in a way interesting is that most of the currencies have given us negative impact still. So one day when this changes, we will be in joy. So our performance; these are now the year to date figures. And Russia decline has now clearly lowered actually, Russia itself has only a few percentage negative in sales for the quarter. And what is remarkable is that Russia and CIS altogether posted growth figures for sales for quite a long time, this not the first time, and is of course an excellent sign that something is changing there. North America, negative, the quarter was above 10%; other Europe, 13% for the full year and even the quarter was 7% up; and Nordics, about the same, 2% up for the quarter as well. Volumes have developed. We have been selling more than last year a bit in volumes and our market position has very positively. In Russia, we are getting very nice and good analysis not only on the sell out figures, but also on the sell in figures, but also on the sell out figures and we've been able to increase our market share there both in sell in and sell out, and actually quite nicely. Also, in Europe, we are constantly increasing our market share without giving up anything on the price position, which is exactly according to our strategy. North America, in each of the segment our market share is increasing. But because the winter segment where we are strong as such is going down, therefore the overall market there is decreasing. And in Nordics, it's about the same, on a very high level. Currency impact has been 34 million for the full year, 2 million in a quarter. Average selling price basically for the quarter flat, just very slightly negative. So that is good news. And currency again was the main impact of it. Mix actually was positive and prices were pretty much flat. Raw material cost, I'll come back to that a bit later. Still full year figure quite strongly down, but the quarter itself was already up, as we estimated. Fixed cost slightly up. We are investing on enabling the future growth and then the production volume have been about the same for the quarter as for the full year so far, 5% and 3% productivity improvement. And then for the distribution network, the quarter was clearly the best of the year so far. I'll come back to that in a while. And we are now over 3,000 outlets already in the distribution branded network. I'll go next to the financial summary. So for the quarter it looks very good. We had 2% growth in the sales, only 2 million impact of the currencies, so no big change regarding that. Operating profit also improving 2.4%. Operating profit percent it stayed at the same level as last year. Profit before tax; so financial costs have been developing positively, as much as 7% increase. We had some extraordinary items in the last year's quarter, but still we are happy for the level that where we are here with the profit before tax. And then profit for the period 2.9% up. This taxation percent is again, the same happened as we had in the last quarter, that the comparable tax rate last year was 10.7% or something we were now at about 14%. So [low-ish], but the comparable tax rate. And this is due to the kind of timing of certain returns of our tax agreement benefits in Russian side. Cash flow; here are some currency rate impacts in last year. But cash flow as such have been developing positively. Capital expenditure for the full-year we are at about the same level as last year and all the balance sheet specific KPIs items here have been developing positively. Equity ratio now close to 72%, gearing as low as 9% here. So again the balance sheet going for higher level. Investment years is again a bit better than in the past. So raw material cost did not any more support in the quarter, but the production cost continued to support us. So we have a very fantastic production solution or system. Working volumes were higher. We were able to keep the pricing position in a good shape. No real extraordinary items in the quarter. I'll come back to this, or maybe I'll say now, that we had a good situation in that respect. There were no new bad debt cases. In Russia, we had about a bit less than €1 million bad debt provisions in a quarter, but coming from the several small cases mainly outside Russia. So that is again one good sign of the positive development there. If I say a few words about Russia now, the macroeconomics figures still they are not too encouraging there. There is development there; for example, the consumer confidence index have been now increasing very nicely for the last few quarters and also the retail is now clearly, clearly going to the better direction. But still the main fact is that the real income of the households have decreased so much that it will take time before that recovers to that level that the bigger investments starts to take place, but clearly going to the better direction. Maybe a few words more about Russia; the summer season for the whole market was actually very good, surprisingly good. It was one of the best for years. There are some impacts of the timing of the new car sales from four years back and so, but still even that considered, the summer season went very well. Especially it went well for us because our customers' market share increased in that market and then our market share within those customers increased. So we had a very fantastic situation and of course now are waiting for the market to really start recovering and then benefiting from that. So the previous slide, the financial summary, and this slide is something that I feel very proud about. Still a few years back if you go and look at the pie, it looked totally different. Now we have the Nordics and Russia just slightly over 50% of the pie and the rest below 50%. 40% plus percent is coming from our new growth areas, North America and Central Europe. And still the margins are at the same levels as they were when the pie was looking different. So this of course gives much, much better pace going to the future and seek for the growth as the previous versions of the pie. So Central Europe continues to grow its share here. It's now already one-third of the business. Russia is now at the level of Sweden in terms of sales. However, good to remember again that Sweden includes our equity, quite strong equity. Vianor with a clearly lower retail margins on it. So Russia still for us is the biggest single country and we are doing there very good and profitable business. Raw materials, we made here a slight change. Here you can see the 78, which is the kind of index, raw material cost index for the quarter. It was higher than last year's same quarter and even slightly higher than the previous second quarter this year. We are in the historical low levels and our estimation that these raw material costs are starting to increase is happening, maybe a little bit in the lower space than we expected, and therefore, we made here a small adjustment. We increased the kind of decline figure from 5 to 6 and a small increase on the tailwind as well. Then going to the business units, I'll start with the business unit summary. No big changes here on the business unit sales split as such, but of course every percentage that we get more passenger car tires business will naturally positively impact our overall margin. And year to date when we look at passenger car tires margins, we have said that this 30% for us is a kind of mental limit that anything above that starts to be okay and anything below is kind of not so okay. And now we're close to 32%, so it starts to be in a little bit better shape. The passenger car tire unit this quarter was a kind of star. We have been getting a little bit support from especially heavy tires in some of the quarters, but now they had some challenges. Vianor quarter was as such okay. We had there one time of item that made the operating profit slightly decline from last year. Other than that, they actually improved a bit. I'll come back to Vianor itself a little bit later. Heavy tires had, is having some challenges, especially with some of the segments. The market demand simply is lower than we have been hoping for. And going now to the passenger car tire units, of course one of the key message of the quarter is the fantastic operating profit level of the passenger car tires. 36% is something that we start to be already quite happy for supported by the sales, good discipline in the customer interface. Our product portfolio is in excellent shape, production machine is in good shape. Raw materials did not anymore impact positively, but neither show much negatively, the increase was just nominal. And the mix for us has been developing very, very well. For example, in Russia, we have been taking target for this year the premium segment. We have been having so low kind of quarters that we need to now start getting the premium segment up. And we had the very nice year to date. We have been able to increase it above 30%, again, the premium share of the business, passenger car tire business. So very good work. Like I said that in all categories, product categories in Russia, we've been able to increase our market share. So it looks very good for the year and for the future. Naturally, we did not have any negative bad debt cases here and that also impacts the operating profit. Bridges are quite clear. Volumes have gone up, price and mix jointly have been positive this year and then the currency have been the main negative impacter on the passenger car tire unit's bridges. And then here we have it's good to remember that materials includes not only raw materials, but also items like wheels and so on. We sell actually quite a lot of wheels in our car dealer business. And then currencies mix here combined. And in other costs, main element here is the bad debt provision. A few things, kind of qualitative things about the passenger car tires, we are progressing with our Must Wins quite nicely and one of the Must Wins is the products and services area, and we announced now the new setup for our summer tires, mainly summer tires technology center in Spain, just one hour drive south from Madrid. Fantastic place to build a brand new test center there. Quite a big investment that will go over several years. Initial investment being something like 10 million. We are testing here, like said, mainly the summer tires, but also the dry handling properties of the winter tires and all season tires. Then for our key markets, two new fantastic launches. This is an upgrade of the previous Blue family, again a product that will improve better both under the cars impacting the consumers' opinion about the tires issues like aquaplaning, improvements on the aquaplaning, using some of our latest innovations, but also the durability of the tires. And they will be performing again better also in the tests. So will give us a next boost in our summer tire business. Summer tire share this year have been higher than most probably ever, so also in the third quarter we were benefiting from the summer tire success. And then Rock proof, a very special niche market. We don't expect this to give huge sales volumes, but it's one of those products that boost our brand awareness, the image of being able to handle the tough and demanding conditions. This is the toughest off-road tire of its kind. We've been testing this and developing this together with some of the leading mining companies. Mining companies are not only using the big mining machines, but they are using lots of pickups and SUVs for transporting the personnel and goods. And when you are working in this kind of a stony environment, you need some special characteristics from the tires. And this is now tested to be clearly better than the best in the industry so far. So we're using their naturally our Aramid technology that we've been already been launching very successfully for SUV tires, plus some specific hybrid tread compound that makes the surface of the tire kind of unbreakable almost. Very, very interesting to see how this starts to perform now when we start selling it at the beginning of the year. Initial interests have been extremely positive. And some of you may know that this is the first time that we have this kind of colorful side markings, extremely sexy looking tire. And then totally new family for North America supporting our growth there as part of our Must Win plans; luxury performance premium, summer all-season tires, different type of all-season that we are used to here in Europe. We made one of our biggest launch events ever in North America and the customer reception was extremely positive. So this will be selling well, we can be sure about it. Heavy tires, we are investing. We have decided that this is a good business to be in. We are investing on it. Investments means some new sales forces for those areas where we have white spots; some more R&D, and therefore, new products to support the portfolio; and then a little bit of more advertisement. And as we did not get the sales increase now, this fixed cost is impacting the profitability. The sales however I trust that will come. We have now some early signs. One of the long term targets that we have is that we are able to enter the skidder market in North America and now we have some signs that that is starting. Overall of course for the full year the profitability is still on a good level, but no real growth in this business. Vianor, same in a way of sales, that no growth. Even we have been making investments here. The price competition in the retail has been tough and then also here we have specifically been hit by the negative impact of the currencies as well. We made a little bit better operating profit, but we were forced to write-down one of our earlier investments during the quarter. I trust that the development in the next 12 months for this business will be positive. We had as much as 140 plus new outlets in our distribution network. This is more than in the first half totally, so very good development. Here you can see where the development has come from this year, from which geographies. You can see actually that in Russia the development has been negative. So the gross development of the outlets elsewhere has been then even a bit higher than this. Main development is, like expected, in our NAD concept. We're expanding, especially in the new growth areas we are expanding with NAD concepts quite nicely going next for the outlook, we have made some small changes to the assumptions here. We have been making a slight negative adjustment for the new car sales here for the Europe and then demand for the tire markets in Russia we have made small adjustment there, a positive adjustment. Raw material cost, I explained already. And in investments, we took another EUR10 million away from our estimated investments for this year. So this will be now about at the same level as last year, slightly lower. We keep our guidance. Of course we are now already well into the fourth quarter. What is good now is of course that the season has started. Season in Russia has started clearly better than last year. 40%-50% of the season is already behind us. We can already now say that the inventory situation will not be as negative for next year as it has been at the start of this year, so that looks good. Central Europe also looking okay at the moment as well as the Nordics. So our confidence for the guidance is very, very strong. We will continue now increasing our market share. Our product portfolio is in a good shape. Our customer satisfaction; we measured just very recently our customer satisfaction and it's in very high levels and a clear improvements in all areas. So these are the kind of base that makes it possible to be very, very confident of the coming not only one quarter, but for the quarters. This Russian winter tire inventory situation was one of our biggest negative drivers when we wanted to get for the growth, but did not enable it. Now that is basically wiped, that risk is wiped away. Okay, that completes the official presentation part and we will now go for your questions. Maybe we start, as tradition, we start by clearing the questions from this room.
Q - Rauli Juva: Hello. Rauli Juva from Nordea. One question on the North American winter tire market. You commented earlier on the year that you expect around flat. Now your sales at least for the nine months are still clearly down. So are you still expecting kind of flattish development there for the full year?
Ari Lehtoranta: Yes, we have said that the biggest negative driver for North American market will be this very, very negative situation with the winter tire inventories, customer inventories at the starting of the year. I don't remember that we have been even forecasting flat for the North America. Now of course for the winter tires the delivery situation for the inventories have been cleared out already. So now the inventories levels are not anymore in a bad shape. So if the winter comes in North America, then we will be benefiting because the winter tire inventories not only, if you have some over stock from the last season, not only you don't order new ones to fill it up to the same level, but you take typically a little bit more conservative view for the inventories when you have a bad season behind. And this has happened in North America as well. So the customers' inventories are actually even in lower levels going to the season as they were last year just before the season. So therefore for the fourth quarter as such we are expecting not any more decline.
Rauli Juva: All right, thank you. And on the Russian side you're increasing your full year forecast. Was this more related to the development you have seen over the nine months in the summer tire season you mentioned or has your kind of outlook or situation into winter tires season also improved?
Ari Lehtoranta: A main driver for this outlook of course is the summer tires. We got during the third quarter we got the final results of the summer season. Summer season is not only the spring change season, but of course we need to look at the whole season and then we'll get the statistics slightly with a slight delay. And that was surprisingly strong, one of the best summers in four to five years.
Rauli Juva: Okay, thank you.
Ari Lehtoranta: And what does it mean that it's good summer? It actually means a lot of positive things. So first of all, you get the good sales, especially if your market share is increasing or your customers' market share is increasing. But it's good to remember that we start selling summer tires already in the fourth quarter. So now customers have an extremely successful summer season behind. The summer tire inventories are lowest for five years or so. That also means that there's space for the winter tires. So that doesn't prevent them of taking some refills now for the season if they need. And then the fourth item is that financially, profitability wise, they did an extremely good summer, which means that, for example, we don't have any new bad debt cases. The customers' financial situation in general has been now improving in Russia. For the outlook, we still have in our own forecast, we have some bad debt cases, not any more new cases from the Russia, but some of the tails from the already known cases, where we have already made some provisions earlier. Anymore questions from this room? If not, operator, we are ready to start taking questions from the virtual audience.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Nikhil Bhat from JPMorgan. Please go ahead. Your line is now open.
Nikhil Bhat: I have two; firstly on Russia. And it seems to us that you are getting intermittently more positive. I was wondering if you could give us any initial color on how you're seeing the market in the next year, 2017. That is my first question. And then second question is on the material guidance in the EBIT bridge. You've done 38 million for the first nine months and how does that compare to the 70 million raw material guidance that you have for the full year? What should be the comparable number we should think about in the EBIT bridge for the full year? Thank you.
Ari Lehtoranta: Okay, so first your question was about the outlook for Russia for next year. And the only thing that I can say is that of course customers' financial situation has improved. The summer inventory levels are at very low levels at the moment. Winter season has started very, very well. 40% to 50% of the season is already behind and that is going well. So at least what we can say is that there will be no negative winter tire inventory situation going into 2017 like we had at the beginning of this year. We don't know yet whether it will be okay or even very good inventory level, but that's still a variable part. So looking good. Then of course new car sales, we are now estimating that the last three months should start to be in a single-digit negative growth. And then the comparable quarters from this year going to the next year, they are quite low in that respect. Oil prices have stayed now in a clearly better level. Ruble has stayed actually surprisingly stable now for the last few months. Confidence indexes are going up. So we are expecting a slight growth in Russia. But however let's remember again that there are no miracles at least that we could foresee that would enable a fast growth in Russia. Your second question about, is this old question about our raw material, how we forecast about it. How we make the €70 million calculation is that we look at the corresponding volumes, so that if we would be making same volumes between these two years and then look at the raw material cost development, then the positive impact is €70 million. Naturally, now that we are making more than last year, then the actual impact is higher, like you said in your question. So you need to take into account in this comparison the volume differences between the years. So far we have been producing 5% more than last year, and therefore, the positive impact is clearly more than this €70 million.
Nikhil Bhat: I'll get back with a few more questions. Thank you.
Operator: Our next question comes from the line of Henning Cosman from HSBC. Please go ahead. Your line is now open.
Henning Cosman: One question on this set of results, if you could just illustrate now a comment on the elimination's line quickly. I think that's quite a bit bigger than usual, if you could help us understand that. And then secondly on the third plant. I think you lately indicated that you would still be making the decision in the fourth quarter, so now basically. If you could update us on that as well as on your own succession, if there's any progress in finding a successor for yourself. And then thirdly, I don't want to ask about 2017 guidance now, but maybe you could put into perspective with the mid-term outlook that you gave at the Capital Market Day when you said 16 to 18 average, 4% to 5% growth and minimum 22% profit margin. And also if that would still be the case or what your confidence level is if you would put the third plant in place leading to a profitability dilution in the ramp up phase, if you would still be 100% confident that the operating profit level wouldn't drop to under or below the 22%? Thank you.
Ari Lehtoranta: Okay. A few short-term questions and some a little bit longer term questions. But if I start from this eliminations, you're right that the elimination figure line is clearly more negative than normally for the quarter. We have some internal inventory adjustments or eliminations, how we do them. For example, how and when do we fill in the Vianor inventories that impacts the differences between the quarters. And we had a little bit of specific differences between the second quarter, where the eliminations was very low, and then our third quarter. So you need to look at the year-to-date figure, which is at the same level as last year. And then I'm expecting also the fourth quarter to be at the same level as last year. So overall there should not be any kind of similar type of negative impact in the fourth quarter. We are very, very sure about it. Third factory, yes, we are progressing. What we are doing is that we are, in this quarter we are making a proposal for the Board. Whether the Board will be able to make immediate decision, whether they want to, for example, leave the final decision to be also reviewed by my successor or whether they really will be making the decision immediately, that I cannot guarantee. But we will be ready to present this to our next Board, which happens to be later this year in December. Then the question about my successor, the Board is working on it and nothing to report about it. They will report when they are able to progress. And then the question was about the longer term outlook, I think that the positive thing is that even though we have not able to hit the sales growth this year because of the winter tire inventory issues, elsewhere we are progressing as planned. Maybe the small difference only is in the heavy tire side. We've been able to maintain very nice and high profitability levels, despite the fact that we've been making those investments for the future. So I'm very positive about, also about the future, both the growth and then the profitability what we have been promising.
Henning Cosman: And that would also be true if there was a dilution effect from this new third plant?
Ari Lehtoranta: Third plant factory investments, they will be, first of all, they will be spread into the several years. So we are not going to build it up in one year. So the kind of, also the depreciations and ramp-up costs, they will be split to several years. Our cash flow is in a good situation. Our demand from the customers is increasing. And when we look at the new products that we have just launched to the portfolio and what we have in our plans and roadmaps going forward, we will be able to also sell the increased capacity. Before the third factory, we are naturally making slightly less CapEx intensive capacity increases; meaning that we are going to implement the capacity increases in Russia, like we have said earlier.
Henning Cosman: Thanks, Ari, and all the best for you.
Ari Lehtoranta: Thank you.
Operator: Your next question comes from the line of Mattias Holmberg from DNB. Please go ahead. Your line is now open.
Mattias Holmberg: So you have a really nice EBIT margin for the passenger car tires division this quarter, up quite significantly year-over-year. And I was just wondering if this is in any way affected by the larger eliminations compared to last year and also I was wondering if you can give us some flavor on if we could expect this margin to stabilize going forward or is this sort of a one-off quarter. Thank you.
Ari Lehtoranta: First question was that whether eliminations had anything to do with this very high, or very nice 36% EBIT margin for the passenger car tire unit. And the answer is, no, nothing at all. This is on the corporate level that we do these eliminations. The second question was if I understood correctly was that is this an indication of the ongoing margins. And there so many things can happen. Of course it says something about the healthiness of the business, the portfolio, the quality of our operations. Good to remember, however, that there were very little, almost no extraordinary items during this quarter and even in the normal quarter we have had about 8 million to 10 million bad debt provisions, so in average 2 million, 2.5 million for the quarter. But I am not expecting either this kind of good profitability levels continue in the coming quarters.
Mattias Holmberg: Great. Thank you. That's all from my side.
Ari Lehtoranta: Yeah, I may be add to this that you remember, I've been telling already now for two years that we are in a transition phase what comes to the quality of our customer base, meaning the dealers that we are making sure that we are selecting the best dealers. We are enabling them to make best margins with our tires. And this strategy is working very well. So not only it helps them to earn better, but also typically our margins stay in a more sustainable level.
Mattias Holmberg: Great. Can I just have a short follow up? So considering you're finding good expansion in Central Europe and North America, where all season tires are a bit more widely spread. Do you see this hampering the margin expansion or sort of hampering the Group margin at all from lower selling prices?
Ari Lehtoranta: There are so many things that impacts the profitability. For example, if there are any drastic changes regarding the raw material prices to any directions, it typically has at least short term impacts, either positive or negative. We have been saying that we actually don't mind that raw material costs starts to climb. Typically, that foresees the others to start increasing prices and we can then follow. Regarding this new areas, no we don't see any. We have been now, I think we have been able to demonstrate; for example, these margins behind these margins we have the highest ever Central Europe share, highest ever summer tire share and still we make 36% EBIT margin.
Mattias Holmberg: Very good. Thank you so much.
Operator: Our next question comes from the line of Andrea Turon of Aaron. Please go ahead. Your line is now open.
Andrea Turon: I have a question about the quarterly sales in Finland. According to my calculations, the sales have dropped heavily. Is this a right estimation and can you elaborate on the reasons behind that? Thank you.
Ari Lehtoranta: Yes, in Finland, we also believe that the market is changing more towards the fourth quarter. We have not been losing market share in the car dealer business according to our own estimations. We believe that we have been slightly losing the market share in the consumer side, but very slightly. Some heavy tire impact there as well, some seasonality impacts, nothing drastic.
Andrea Turon: Okay. And on the one follow up, can you comment on the sales drop, the North America drop?
Ari Lehtoranta: Like I said, that we've been increasing our market share in all of the segments we are, but the fact is that the tire deliveries this year were clearly lower than last year for the whole industry.
Operator: Our next question comes from the line of Martin Viecha from Redburn. Please go ahead your line is now open.
Martin Viecha: I have two questions if I may; firstly, about tire prices in Europe. If I remember, back in your Capital Markets Day you mentioned that the Nokian Tire prices are much lower than your premium competitors and given you've been taking quite a bit of share in Europe, I was just wondering what has been the price development on top of that.
Ari Lehtoranta: Yes, it has been, as we have said at that time. So our price position, you can't change overnight if you don't want to have drastic changes in your volumes. So we have been increasing our price position. So during all these times when we have been able to capture the market share, we have been increasing our price position, but slightly. Typically, you can do it. If your price position is, for example, €85 against the €100, which is the price leader, you can make, in a year you can go to €86 or €87. So this is the kind of speed that you make these changes. But naturally, or every single one point change naturally goes directly to the bottom line.
Martin Viecha: Absolutely. Thank you very much. And the second question just very briefly on the third factory. Is this something that you're going to announce this year or which is going to be announced during the 4Q results in the beginning of the next year?
Ari Lehtoranta: Yes, like I said, that we are, the only thing about the timing I can be sure about is that we are going to present our proposal, so operative management's proposal to Board at the early part of December. And then depending of the decision, we can either announce it immediately or then take some time. And maybe the Board wants to, for example, have my successor to also review the plans or something like this. So about the announcement, I cannot say when that will happen. And of course it's the Board's decision. So even about the decision, I cannot say what the decision will be.
Operator: Our next question comes from the line of Gaetan Toulemonde of Deutsche Bank. Please go ahead. Your line is open.
Gaetan Toulemonde: I have two quick questions, the first one concerning the raw materials. We have seen that natural rubber and [thick] rubber price have gone up recently. What type of increase do you expect for next year regarding raw materials? I mean this year it's a positive €17 million. Can you give us an order of magnitude if the raw material prices stay where they are now, what could it be for next year? That's my first question.
Ari Lehtoranta: Okay, if I answer that one first. So we are not going to give an outlook yet in this call regarding the raw materials. Naturally, if we now look at that, what is the trend between these two quarters, so that's what we can say and whether that then continues. So the growth was only zero point something, so almost flat. And we don't expect huge changes. So this trend we believe will be such that there will be growth, but we don't expect huge growth. So with this kind of a trend next year would be some percentage points, maybe three, maybe five. But like I said, we will give that guidance in our fourth quarter full year result goal.
Gaetan Toulemonde: Okay, that's useful indication. Thank you. My second question is, when I look at the winter tire business, or at least in Europe, it looks like that the bulk of the business now is done in the fourth quarter. Can you give us an order of magnitude of the percentage of winter tires which are sold between the different quarters or how big the fourth quarter represents in this overall volume? My interpretation is that the bulk of it now is in the fourth quarter. Do you confirm that?
Ari Lehtoranta: I confirm that. Of course we've been delivering already winter tires from second quarter onwards, even in Central Europe. But year after year those shares both for second quarter and third quarter have gone down and the fourth quarter has increased. Naturally, smaller in average our customers are. So if less and less of your sales go to the big wholesalers who make inventories on your behalf, this is the trend that you will see. And it's a good question about those percentages. I actually don't have them in my mind, but the trend has been clear and it is a very significant part of the sales that takes place in the fourth quarter.
Gaetan Toulemonde: Is it possible that the fourth quarter could represent up to 50%?
Ari Lehtoranta: I'm not going to start guessing because I can't just now simply remember. I'll make sure that in the next call we have that answer in place.
Gaetan Toulemonde: Okay, super. Thank you very much.
Operator: Our next question comes from the line of Edoardo Spina from Exane BNP Paribas. Please go ahead. Your line is now open.
Edoardo Spina: I have a couple of questions; first one on Russia. I think you did not take a very big credit loss provision this quarter. You commented already a couple of times on it. Can you remind us if for the full year we can expect a similar headwind as last year because I think you said that in the past? And also I remember there was a lawsuit also pending. Can you update us on those as well? Thank you.
Ari Lehtoranta: Okay. So if I start from the latter part of the questions. So regarding the lawsuits and then possible returns of any of the existing bad debt provisions, there is no real progress. Some of the positive decisions from the courts, but still in the early phase. Regarding the full year, we have been saying that we, last year we were at the level of EUR70 million. This year we have now booked EUR11 or so. And we will be somewhere between this already booked. I'm expecting still some, maybe even closer to the last year's level would be the forecast. So at least then we are prepared for all the kind of remaining tails of the already existing cases.
Edoardo Spina: Okay. Thank you very much. I have a second question please on the mix, if I can ask on Europe and North America? Some bigger competition, the bigger competitors highlight how important it is as a driver. I don't if you can give us an indication in terms of local revenue, maybe, is mix a positive for you? Is it quantifiable 1% or 2% growth? Can you give us any idea? Is it SUVs or some, any details will be appreciated? Thank you.
Ari Lehtoranta: Mix, of course this mix is always a very complicated issue. I remind you that there are at least four or five elements in mix that you can, you need to analyze and therefore the whole mix becomes very difficult to analyze. You have the geographical mix, you have the customer mix inside the country, you have the winter tire, summer tier mix, you have the premium, medium segment mix and you have even the size mix that surprisingly changes between the quarters between the different years. And this is of course incidental or accidental and there are some trends; for example, the constant growth in SUV and bigger cars will boast bigger sizes. We are not focusing so much on the size kind of discussion. Size is one a simple part of this equation. We are talking about the premium and there we have been doing very well. In our third quarter figures this mix impact was about 2% positive.
Edoardo Spina: Okay. For the, for those division, 2%?
Ari Lehtoranta: Yes, for the passenger car tire price analysis.
Edoardo Spina: Thank you very much.
Operator: Our next question comes from the line of Kye Miller from Bank of America Merrill Lynch. Please go ahead. Your line is now open.
Kye Miller: Just a quick question. Your [Indiscernible] capital build so far that your build has been somewhat less than in previous years. Or what is here the main impact and will we still see a strong Q4 [Indiscernible] in terms of free cash flow generation or could that be somewhat lower [Indiscernible].
Ari Lehtoranta: Your line was now cutting and it was impossible for me to get your question. There were some problems with your line and at least everybody else is saying so.
Kye Miller: Okay. Let me try again. I'm adjusting my headset. Just on your working capital build so far this year, as we have seen, it has been less this year in terms of a relation on the full year basis versus the previous year's. Would you still see a strong Q4 quarter where you have most of this working capital then being released again or is the weighting slightly different this year given you've had these different seasonality what you talked about, North American winter tire market, etcetera?
Ari Lehtoranta: Behind our good cash flow is nothing that is taken away from the fourth quarter. So I'm expecting cash flow wise I'm expecting a very good quarter, fourth quarter.
Kye Miller: Thank you very much.
Operator: WE have follow question from the line of Martin Viecha with Redburn. Please go ahead. Your line is now open.
Martin Viecha: Sorry, just one last follow up question on the dividend. I mean historically you've been just gradually boosting up your dividend year by year. Is that going to change or what is your, what are your sort of early thoughts on dividend at this stage?
Ari Lehtoranta: Well, it's not going to change in my time for sure and I leave it for my successor and the Board. I see it very unlikely that there would be any change on the dividend policy as such, which is to keep or slightly increase the absolute dividend per share despite the investment years. We have a very good situation. We have good cash situation at the moment. Cash flow situation is good. Profitability is good. I'm predicting growth. So even and when you look at our balance sheet, it cannot be too much better going forward, so we even afford a little bit of leverage in terms of debt especially knowing the interest rates levels for a company like us with the balance sheet that we have.
Martin Viecha: Okay. Thank you very much.
Operator: [Operator Instructions]